Sadayuki Hamaguchi: [Interpreted] Ladies and gentlemen, thank you for joining us for the announcement of the 2021 First Quarter Earnings of Nissan Motor Co. We are very pleased to have so many of you joining today's session. 
 Based on the latest COVID-19 situation, we are organizing this conference through live streaming. 
 Please allow me to now introduce you to the executives who are in attendance today: Chief Executive Officer, Makoto Uchida; Chief Operating Officer, Ashwani Gupta; and Chief Financial Officer, Stephen Ma. 
 Thank you very much. In addition, we also have several executives in charge of operations who are joining the session. We will begin with our COO Gupta-san, who will present the first quarter results; followed by CEO Uchida-san, who will walk through the full year forecast. 
 Gupta-san, the floor is yours. 
Ashwani Gupta: Thank you, Hamaguchi-san. Hello, everyone. Thank you for joining our first quarter earnings session. 
 Before I begin, let me take a moment to express my gratitude to all Nissan stakeholders for their strong support to us during this tough period. As we look forward to the reopening of the world, I urge you to continue to take extreme precautions to avoid infections and ensure healthy living. 
 Nissan had a good start this year with strong results driven by efficient business and financial management and decisive actions to adapt to the changing environment. This is a full team effort with every function and individual contributing their best. I especially want to recognize the efforts of manufacturing and supply chain teams for efficiently managing semiconductor shortage. 
 Let me now provide highlights of our performance. In the first 3 months of the fiscal year, our unit sales increased sharply as the industry rebounded from the pandemic disruption of 2020. Both industry volumes and global Nissan retail sales increased by more than 60%, keeping pace with the industry volumes. Our digitally influenced sales have further increased in quarter 1. This is largely attributable to the online inventory search, which allows for ease of shopping before customers visit dealers given the uncertain supply situation. This is a resilient and encouraging sales performance after the volatility of last year. 
 For starters, we have seen great product momentum, and our unit sales improved across all markets. In the United States, the Nissan achieved strong sales for new models, which lifted retail volumes by 68% and North America sales, including Canada and Mexico, by 70% to 378,000 units. In our home market of Japan, we are up by 7% to 90,000 units. While our kei deliveries were impacted with supply chain constraints, this was offset by strong performance of registration cars such as all new Note. 
 In China, where we see strong market recovery, unit sales were up 71% to 352,000 vehicles, reflecting our robust positioning as a technology brand. In Europe, unit sales were up 69% as markets begin to recover from the closure of retail networks in the fourth quarter of last year with 91,000 units sold. And other markets were up almost 80%, accounting for 136,000 units in the quarter. 
 This was an encouraging overall performance given external headwinds, including semiconductor shortages. A central part of our strategy is our rollout of new and enhanced models featuring bold designs and compelling vehicle technology offering, which enable Nissan to improve price points and customer value. Take the Rogue in United States, where our share of SUV crossover segment in this vehicle size rose to 8.2% for the quarter. Not only did we gain market share, but our product value is recognized more as customer-facing transaction price rose by 22%. This resulted in increase in our net revenue per unit by 28%. This reflects our determination to prioritize profit and value per unit rather than chasing volumes. 
 Similarly, in China, we increased our segment share for the Sylphy while maintaining the pricing even though others reduced. This is because of our differentiated positioning as a strong technology brand. 
 In Japan, net revenue per unit for Note rose 31% in quarter 1, capturing 12.2% of the segment. This demonstrates that our customers recognize our new technology and design appeal. 
 Building on our model and sales momentum, we are securing healthy preorders for our upcoming model launches such as the Nissan Note Aura and all-electric Ariya in Japan as well as the new Qashqai in Europe. We are focused on industry-leading and segment differentiating models which deliver on customer aspirations, helping us to move from a push to pull strategy without significant discounting. 
 The INFINITI QX55 launched in April is a clear example of our business transformation where we are differentiated by value. To date, we sold 1,500 units with almost no discount. 
 Taken together, these trends signal that we are securing encouraging customer acceptance for our new vehicles and the superior value they offer. 
 We are working urgently and diligently to achieve key milestones in Nissan NEXT. Let's look at it. Number one, rationalization. Since fiscal year 2018, we have reduced fixed costs by JPY 350 billion. As a result, we have lowered our breakeven point from 5 million to 4.4 million units a year. 
 When we look at quality of sales, our net revenue per unit improved by 16% in this quarter compared with FY '19. This was supported by our robust product momentum throughout Q1, starting from QX55 in the U.S. in this April, followed by the reveal of the all-new X-Trail and Sylphy e-POWER. In June, we began production of all-new Qashqai in Sunderland. And the pace of our product offensive picked up during June with the initial 4,000 preorders of the Ariya in its first 10 days in Japan, along with the reveal of Note Aura, the INFINITI  QX 60. 
 When we look at sow seeds for the future, we kept our product commitment by introducing 11 out of 12 models in 18 months, creating momentum for future. Having done this work, including rationalizing our product portfolio, market focus and capacity utilization, we are well positioned to reinvest resources in continuing to develop bold new products. 
 We have also most recently set the stage to expand and prepare for Nissan's electric future with the unveiling of EV36Zero. Our full commitment towards zero emission ecosystem in our new EV hub in the U.K. and expand on our electrification strategy. 
 Turning to the financial performance in the first 3 months of the fiscal year. We have delivered stronger-than-expected results supported by operational excellence combined with marketing and financial discipline. This slide shows our key financial performance KPIs on both proportionate basis and equity basis. On a proportionate basis, which is with China JV operations, the operating profit for the quarter reached JPY 103.7 billion with an operating profit margin of 4.5%. We regard this as a good start towards achieving the important milestone of a 2% operating profit margin in FY '21 under Nissan NEXT. 
 On an equity basis, which is without China JV operations, operating profit was JPY 75.7 billion with an operating profit margin of 3.8%. And free cash flow for the auto business was negative JPY 174.4 billion in the quarter. 
 Our net income in the first quarter was JPY 114.5 billion. This result was significantly improved compared to last year, however, auto free cash flow was negative as production volume was low due to semiconductor shortage as well as seasonality. 
 At the end of the quarter, net cash stood at JPY 744.8 billion. We continue to maintain strong levels of liquidity. At the end of June 2021, cash and cash equivalent for auto business was approximately JPY 1.7 trillion. Furthermore, we continue to have approximately JPY 2 trillion in unused committed credit lines. 
 Turning now to operating profit. This bridge shows that the big swing factors between quarter 1 operating profit this year and last were our marketing and sales performance and our Monozukuri efforts. Our sales performance delivered a positive impact of JPY 193.2 billion, thanks to an increase in sales volume and an improvement in selling expenses, helped by our initiatives to enhance quality of sales. The introduction of new products also contributed in a favorable market environment with a tight demand-supply balance. Monozukuri performance had a positive impact of JPY 43.2 billion primarily due to a reduction in purchasing cost as well as an improvement in manufacturing expenses. Foreign exchange was slightly positive, but the raw materials had a negative impact of approximately JPY 14 billion due to the continued increase in prices. Other items had a positive impact of JPY 2.8 billion. 
 Now, refer to this slide for our Q1 financial performance under the equity method. The net revenue improved by JPY 834 billion to JPY 2 trillion. Operating profit increased by almost JPY 230 billion to JPY 75.7 billion, representing an operating profit margin of 3.8%. Our performance during the quarter also resulted in an increase of over JPY 322.6 billion in ordinary profit versus the period last year. And the net income reached JPY 114.5 billion, a swing of more than JPY 400 billion compared to the same period of fiscal 2020. We delivered a profitable quarter even before the additional positive gain on the sale of Daimler's share, which contributed JPY 76.1 billion to the result. 
 Our delivery on the Nissan NEXT and our high-quality sales focus have contributed to Nissan's return to profitability during the first quarter. In conclusion, Nissan has successfully closed the first chapter of Nissan NEXT with fixed cost optimization and revenue increase while focusing on drivers of future growth. Our teams across operations have gone above and beyond to move us from volume to value, bringing a real culture change in the way we do business. Although we anticipate this challenging situation to continue for a while, based on our learnings, we will continue to be meticulous about our production and inventory to ensure minimum impact. 
 To summarize, we have a strong beginning to the year, and we are determined to continue this momentum with cautious optimism. We are moving to the phase of sustainable growth driven by differentiated environment-friendly and customer-focused products and technologies. 
 With that, I will now pass on to our Chief Executive, Uchida-san, to take you through the outlook for the full year. 
Makoto Uchida: [Interpreted] Now I would like to talk about the full year guidance. 
 Back in May, we forecasted consolidated net revenues of JPY 9.1 trillion and operating profit to come out even and a net loss of JPY 60 billion for the full year. Given the results for the first 3 months, we have revised our full year guidance as follows. Nissan's global sales forecast for the full year remains unchanged at 4.4 million units or 2.87 million units excluding China. Consolidated net revenues are revised upward to JPY 9.75 trillion, reflecting our new ForEx assumption and better quality of sales. We forecast an operating profit of JPY 150 billion, which equates to an operating margin of 1.5%. This is equivalent to more than 2%, including the proportionate consolidation of the results from the joint venture operation in China. It shows we are on track to achieve an important milestone of Nissan NEXT. Net income is expected to increase JPY 120 billion from the previous assumption to positive JPY 60 billion. Our ForEx assumption for the second quarter onwards is revised to JPY 108 to the U.S. dollar and JPY 128 to the euro. 
 This slide provides a year-on-year analysis of the operating profit variance for our latest forecast. The difference between the latest forecast and the one explained in May is noted at the bottom of the graph.  Reflecting a new ForEx assumption, the estimated impact of foreign exchange, regulatory and product enrichment costs improved by JPY 80 billion to negative JPY 20 billion for the year. Given better quality of sales and strong performance of sales finance business and rising used car prices, our operating profit performance is expected to improve by JPY 105 billion to positive JPY 655 billion. The expected impact of investments associated with new product launches remains the same at negative JPY 150 billion. 
 Nissan continues to make necessary investments in our future growth. We expect business risks to have a negative impact of JPY 185 billion, which is larger than the previous guidance due to further increases in raw material prices. As I have said, Nissan faces significant business risks for this fiscal year. Despite these challenges, the company is making steady progress in implementing the Nissan NEXT business transformation plan. 
 Given the momentum in the first quarter, we decided to revise our earnings forecast upward. We are determined to meet the business plan for the year, and we'll continue working as a team to transform the company to realize a 5% operating margin in fiscal year 2023, the final goal of Nissan NEXT. 
 It has been 1 year and 8 months since I became CEO. Over this period, we have been working hard to make Nissan shine again. We are already seeing encouraging changes within the company as well as in the voice of our customers. What we need now is to show our clear vision beyond Nissan NEXT internally and externally for Nissan. We need to demonstrate how we will contribute to society and transform Nissan into a company that is on track with sustainable growth. I am going to steer the company to realize this. 
 As I said during our Annual General Meeting of the Shareholders in June, we are currently developing Nissan's long-term vision for the next 10 years and beyond along with a clear roadmap to make this a reality. Electrification is one of the pillars of our long-term vision, and we will provide more details on our road ahead this fall. 
 The speed of electrification and customer-specific needs vary significantly by market. Our role is to develop a vehicle strategy that can be adapted to different local conditions. Nissan's electrification plans are taking this into account with our offering primarily driven by 2 technologies, EV and e-POWER. Following the all-new EV crossover Ariya, in early fiscal year 2022, Nissan will be launching an all-new battery electric kei car that we have jointly developed with Mitsubishi Motors. 
 We also recently revealed our plan to produce a new generation crossover EV for Europe in the United Kingdom earlier this month. In parallel, we will soon be offering our e-POWER system globally, starting first in China and Europe this year. This expansion follows the strong success of e-POWER in China -- in Japan. 
 It is our intention to continue enriching Nissan's EV offering to meet diverse customer needs around the world. Nissan is also seeking economies of scale and further manufacturing cost reductions by aligning vehicle specification, increasing parts commonization within the Alliance. We also continue to drive technological innovation to increase our competitive edge. This can be seen with the latest production processes which must keep pace with the sophistication of new vehicles. Our next-generation EVs will be produced by Nissan's Intelligent Factories. We are introducing the first Nissan Intelligent Factory at our Tochigi plant, where we will also be producing the all-new Ariya. 
 Nissan is likewise strengthening our global production and sourcing capabilities with our long-term supplier strategy. We recently announced our EV36Zero plan, which represents the future of Monozukuri, the combination of local production for local consumption to support global carbon neutrality. Our new EV production hubs in the U.K. will be the first of several that will drive Nissan's initiative in these areas. 
 It is important to deliver new value beyond mobility to support the adoption of electrified vehicles. To date, Nissan has signed over -- no, excuse me, Nissan has signed 137 agreements under the Blue Switch program in Japan to help society harness the many benefits of EVs. We envision a circular economy for batteries where EVs can serve as a mobile power storage and use vehicle batteries can be recycled for the second life through Nissan's 4R Energy services. By bringing used batteries and renewable energy together, we expect to increase our collaboration with the energy sector. Nissan, as an EV pioneer, aims to continue contributing real-world technologies with our innovation know-how built over many years. 
 As we have discussed today, Nissan is not only working on its short-term recovery but also building towards a long-term vision with wide-ranging initiatives to achieve carbon neutrality. The basic premise for this long-term vision is our corporate purpose: driving innovation to enrich people's lives. Nissan is poised to take on challenges to make itself what customers and society see as essential. We have had to tackle our internal challenges and are now at the point to demonstrate the true value of Nissan. We are determined to continue working as one team to make Nissan a company that you find valuable. 
 Thank you for your kind attention. 
Sadayuki Hamaguchi: [Interpreted] Now we would like to begin the Q&A session. [Operator Instructions] 
 We would like to start taking questions from the floor. 
 Okay. Asahi Shimbun, Kamizawa-san of Asahi Shimbun, please go ahead with your presentation. [Operator Instructions] 
 Yes, Kamizawa-san, please go ahead. 
Kazutaka Kamizawa: [Interpreted] Asahi Shimbun, Kamizawa speaking now. First, for the Q1 results, how do you assess the result? After 7 fiscal terms, this is the first time that we have a positive profit, and you made upward revision and the full year ASEAN because COVID-19 expanding and the semiconductor supply issues remain, and why did you make an upward revision on the full year guidance? What's the ground on the basis of this? 
 And second one, you have been enhancing brand power. I think that's what you have been addressing over the time, thanks to -- and the revenue per unit is increasing, thanks to new cars. But how about the incentives, how is it changing over time? Do you have the numbers that you can share with us? These are the 2 questions. 
Makoto Uchida: [Interpreted] Yes, thank you for the question. For the incentive question, COO Ashwani will be answering your question in details. Starting with the first question, how do I assess the performance and why did we make an upward revision on the full year guidance. In Nissan NEXT, we said we try to enhance the quality of sales and financial discipline. And every quarter, we are making progress on these fronts. In May, when we made announcement of full year of 2020, semiconductor supply issue, hiking prices of raw materials were considered. And we forecasted operating profit to come out even for the full year. But since then, in terms of market, U.S. market is picking up. And on top of this, foreign exchange is turning favorable better than our assumption. 
 In addition to these factors, in Q1, semiconductor supply impacted our performance, but we adjusted our inventories, and we were able to operate the business effectively. So that is why we delivered strong results for Q1. Given these results for the full year, we are forecasting JPY 150 billion of operating profit for the full year. Having said that, for the semiconductor supply, Q2 is where we will be hit the largest. Needless to say, our inventories are -- have decreased largely, so we need to manage this smartly. And as we said, we need to recover in the second half of the year and achieve the full year guidance at the end of the day. That's my answer to the full year guidance for 2021. 
 In Q1, 3.8% is the operating margin that we generated equity base and 4.5% including China. So we will look at -- by monitoring the situation closely, we will make sure that we hit 5% operating margin in 2023 or at least we have the potential to hit this. That's what we would like to pursue as a single team. That's what we would like to say. 
 And the second question, which is about incentive, Ashwani? 
Ashwani Gupta: Thank you. Thank you for the question. Our incentives are now becoming the consequence and not the objective. Objective is to have the quality of sales and have the right price for the customer. And this is not only limited to one market, this is not only limited to the one model. So exactly, as you said, all over the world, we have reduced our incentives as a consequence of customers willing to pay to our products. 
 For example, in United States, our rental is half than what it was last year. The incentives on the current cars are almost 2/3 of what it was last year. And on the new car, it is almost a half. So that's why the quality of sales is not only limited to only one model, but quality of sales is limited across the markets and across the models. 
 One more figure I would like to give to you is because you always talk about the United States. In the United States, last quarter, our market share was 5.5% and this quarter, it is 6.4%. So we increased our market share by more than 1% by reducing our incentives by more than half and increasing our net revenue per unit. And this is in U.S., in China, in Japan and in Europe. And that's why we are shifting our company from volume driven by incentive to value driven by the pricing. 
 I hope it answers your question. Thank you. 
Kazutaka Kamizawa: [Interpreted] Yes. 
Sadayuki Hamaguchi: [Interpreted] Thank you very much. Moving on to the next question, Nikkei Shimbun, Asayama-san, please, it's yours now. 
Ryo Asayama: [Interpreted] Nikkei Shimbun, Asayama speaking. Do you hear me? 
Sadayuki Hamaguchi: [Interpreted] Yes. 
Ryo Asayama: [Interpreted] Do you hear me? Okay. I have 2 questions. The first one is about the business risk that you're assuming. JPY 185 billion negative, that's what you estimate, out of which JPY 35 billion is the variance that you previously assumed. Raw material price hike, how much did you assume for raw material price hike? What are the specific factors inside this? Does this include the price hike of the semiconductors? This is one part of the question. 
 And the second question, which earlier Uchida-san -- this is a question for Uchida-san, by the way. Uchida-san, after 1 year and 8 months, you want to make Nissan shine again, and it's gradually shining again. After 1 year and 8 months, Uchida-san, how do you assess yourself? What's the score that you give to yourself? And you said the ambiance within the company has changed for the better, and voice of the customers are becoming better. And in the court, you were also referring to it. What kind of voice of customers are you receiving? How is it received within the organization changing? These are the 2 questions. 
Makoto Uchida: [Interpreted] Thank you for the question. Yes, starting with the first one, which is business risk of JPY 35 billion. Mainly, this is about the raw material price hike. I would like to ask CFO, Mr. Ma, to provide the details to the extent that we can disclose. 
 And second question, excuse me, at the financial announcement, I feel embarrassed how much I can score myself. But this -- Nissan is the company, since I became a CEO, I appreciated the power of each individual and diversity of the population. And what top management should do is to maximize the potential of -- bring out 120% of the power of each individual working for Nissan. That's what the top management has been working on as a single team. We listened to the voice of Gemba. 
 What is happening on Gemba? Gemba is right 80% of the time. And 20% is to guide them to the right direction. That's what we have been doing steadily. And as a result, our results are becoming better, and now employees are restoring their self-confidence. Therefore, going forward, we want to make Nissan shine again. So I want employees to take pride in working for Nissan. That's what we want to realize. And now it's getting better. 
 And the products that we are delivering are highly appreciated by customers. They think that this is what we expect for Nissan. And as COO presented, this is the reflection of the voice of customers. So as we enhance brand value and corporate value, Nissan's strength are well appreciated by the customers. And as a result, the net revenue increased by 16% year-on-year per unit. 
 And finally, operating profit from the business, now we are a bit above the water level. Now we have to make the company shine again and contribute to the society. That's our ambition. That's how I assess the 1 year and 8 months. Now we are ready to make this happen. Now we need to ensure Nissan NEXT and deliver the corporate value and make Nissan grow. That's what we have to do. We will be strongly determined to make this happen. Thank you. 
 Okay. And the first question by Ma-san. 
Stephen Ma: So thank you for the question. For the first question, if you remember from last time, this step on that page, we had a business risk which is a combination of several factors. Since then, we have been able to get more visibility, since last outlook. And in this business, risk largely is a raw material. What we have been able to do is all the other factors such as exchange rate or semiconductor supply issues all have been shifted to the left. Even absorbing those, we have better performance and showing the profit. So in this JPY 185 billion is largely raw material. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. Did that answer your question, sir? 
Unknown Attendee: [Interpreted] Yes. 
Sadayuki Hamaguchi: [Interpreted] So moving on to the next question, Toyo Keizai, Mr. [ Yokoyama ], please. 
Unknown Attendee: [Interpreted] Yes, this is [ Yokoyama ] from Toyo Keizai. Can you hear me? 
Sadayuki Hamaguchi: [Interpreted] Yes. 
Unknown Attendee: [Interpreted] I have 2 questions. First,is about the shortage in the semiconductor and the raw material price increase. So 500,000 impact and 250,000 -- you reduced to 250,000 impact for the full year. So are there any changes in the numbers here? 
 And under COVID, in Southeast Asia, there's a big impact. So do you have a production impact from COVID-19? So that's my first question. 
 Second question, in the European Commission. In 2035, including hybrid, the ICE car will be forbidden. You said EV in Sunderland, the EV plant establishment has been announced. So is there a change in your target on ICE then? 
Makoto Uchida: [Interpreted] Thank you very much for the question. So first of all, the overall line of thinking will be mentioned by myself, and then Ashwani-san will follow on the details. 
 First of all, about semiconductor storage impact. When I mentioned at the May financial results briefing, the situation is changing day-to-day, but the impact on our production is 500,000 units. And we are reducing this to half. And so this projection has not been changed. But we will continue watching closely and monitor closely as we move forward. So the semiconductor supply, and there's various impact on tiers -- various tier suppliers. And so we will watch this closely and take steps in our operation. We think that's crucial. 
 And the next point is EU is now having the comprehensive plan to reduce the GHG gas emission reduction. By 2050, Nissan, LCA, carbon neutral will be achieved in all our operations and all our products, and we will move forward steadily. And from early on, from 2030, we will offer the electric vehicles. And so this plan remains unchanged. But to promote this plan, EV, e-POWER -- when I say EV, there are 2 things. One is the battery technology that we will use. And in terms of battery technology, the lithium ion to cobalt, I mentioned this last time. And beyond that, cobalt-less and beyond. So how can we reduce the competitive price? Localization is the key for that, not just battery production but the overall LCA in our core operation. This is the content that we had announced in the U.K. this time. So this will become -- deploying to the core plans going forward. 
 So no change in the direction that we announced. And going forward, we will take necessary steps for electrification. And the method to do that will be -- as I mentioned earlier, we will standardize, commonize in the Alliance to achieve the economies of scale because the electrified vehicles -- when we think of the business feasibility, volume is necessary. And so the 3 companies under the Alliance will be leveraged, and we will enjoy economies of scale and improve our competitiveness. 
 Thank you very much. And the detail will be explained from Ashwani-san, please. 
Ashwani Gupta: Thank you, Uchida-san. So yes, we keep the same understanding that 500,000 we will lose because of semiconductor shortage and 250,000 we try to recover. In other way, we are using this crisis to relook into the way we manufacture and the way we sell. And we are, in fact, improving the efficiency and the effectiveness of our business operations during this crisis. And this is a result that in quarter 1 we could deliver positive operating profit. 
 Now moving forward, there are some things which were the bottleneck in quarter 1 are getting better and progressing in the right direction. But on the other side, we have more challenges which are coming up. So we believe that the management which we did in quarter 1, we will continue the same management between a strict supply and demand. And when we will come back after the first half, we will be able to share with you the next visibility which we have. 
 Regarding the second question on the 2035, to be very precise, Nissan will not have any bigger impact because Nissan being the pioneer in the battery electric. By end of 2022, we will have all of our passenger cars in Europe with the electrified options. We have LEAF. We will launch Ariya. And as you know, we announced B crossover EV. And we will have other electrified versions of the car. Then between 2023 and 2035, it is up to customer when they will decide to shift to the 100% electric. As Nissan, we will offer 100% of the electrified version on all passenger cars in Europe by end of 2023. Thank you. 
Makoto Uchida: [Interpreted] And also, because of the impact of ASEAN, will that impact production because of COVID-19 in ASEAN, I think that was another part of question -- oh, COVID-19, right? Do you want to... 
Ashwani Gupta: So basically -- yes, so thank you very much for your question. At first, Nissan policy is local for local. So we try to keep as much as possible the sourcing of the parts in the same country. As on today, of course, we have risk, but we have -- we are trying -- we have mitigated the risk. But in future, if the risk is increasing, definitely, we will try to mitigate once again in the same way which we did in the last year. To answer to your question, as on today, we are running our production normally in Japan and not impacted by the pandemic crisis in South Asian countries. 
 Having said that, as you know that Nissan cares for people first, if something goes more, definitely, Nissan will take the decision to shift from production to the safer environment. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. Moving on to the next question. Wall Street Journal, Sean it's yours. 
Sean McClain: I want to follow up on what my colleague from Toyo Keizai was asking about the 250,000 figure hoping to recover in the second half. Could you give us some insight into why you seem to have such optimism that you can recover that production? It seems like most other people in the industry are saying they expect this to get worse rather than better, and you guys seem to think that things will maintain the same level? 
 And then the second question on broader looking forward on EVs. Could you give us any insight on what the Alliance's battery costs are looking like? It seems like most people, especially out of China, are talking about EV levels cutting by up to 1/4. Is that similar to what the Alliance is seeing in terms of their battery costs? 
Makoto Uchida: [Interpreted] Thank you for the questions. With regards to the first question, before that, I will talk about the EV battery competitiveness. Other carmakers are -- I am not in a position to comment on what the others are saying. But needless to say, how to optimize the battery cost is cost per kilowatt hour. That's what we are monitoring. This is one of the KPIs that we are following in the Alliance. So gradually, we need to reduce it, and we have a road map defined for this. Unless we do this, it's very difficult to increase the profitability of EV or business case because the number of battery EV is much smaller than the ICE. So that's why it's taking time. So battery costs should be optimized. This road map is defined in Alliance. I cannot give you numbers now. But as part of the electrification strategy which we will be announcing in fall, I would like to show some indications at that time. 
 And coming back to the first question, recovering 50%, how confident are we? I think that's what you wanted to ask us. Fiscal year 2020, fourth quarter of fiscal year 2020, in reality, we were impacted by semiconductor supply, and we recovered half of this. And in the most recent 3 months, we were able to manage this well. So based on this experience in the second half of the year, of course, supply -- we anticipate the supply to improve. And given these factors, as the production ramps up, we believe that we can recover 50% of this. 
 Having said that, if there is a deterioration on the supply of semiconductor, once again, we need to monitor the situation. 
Sadayuki Hamaguchi: [Interpreted] Thank you very much. We can move on. We are running out of time, so next one will be the final question. Nikkan Jidosha Shimbun, [ Hukuyi-san ], it's yours now. 
Unknown Attendee: [Interpreted] Nikkan Jidosha Shimbun. My name is [ Hukuyi ]. I would like to ask you about the impact of semiconductor between April and June. What was the volume impact of semiconductor supply? And the peak will come in Q2. That's the peak of the impact that you're anticipating to happen. In second quarter, what is the anticipated impact of semiconductor supply. If you can give us a number, it will be very helpful. 
 And the second question, U.S. and China, the sales are strong by 70%. Why is it so strong? And new -- digital sales are increasing by 17%. So Ariya will be on the digital platform. So what's the digital strategy for Ariya? 
Makoto Uchida: [Interpreted] Thank you for your question. With regards to digital sales. Digital sales because of COVID-19, we believe that digital sales will be increasingly important and we need to promote this. Even before we saw the pandemic, we have started working on it. And as a result, we are seeing steady progress.  The details will be provided by Ashwani-san later. 
 And earlier, as you said, semiconductor impact between April and June. In the first half, 500,000 units is the impact that we assume. So in the second half of the year, we would like to compensate 50% if the environment remains the same. But we need to continue monitoring the situation and adapt to the circumstances with flexibility. 
Ashwani Gupta: Thank you, Uchida-san. So in case of Nissan, the objective of digital sales is to improve the efficiency and effectiveness of our operations but also the customer satisfaction. And last year, during the pandemic, customers use our digital platform. And now when we see we have a supply constraint, customers are using our digital platform. And it is giving dealerships much more access to the aspired customer. 
 Now moving forward, from 1st of April in United States, 100% customer can buy a car at home, customer can configure the car at home, customer can ask for a test drive at home, customer can ask for financing, insurance and full payment and delivery at home. And that's what is our digital platform is bringing in. From 1st of April, Japan, China, United Kingdom and U.S. will be 100% online. 
 But that does not mean that Nissan is shifting towards online. Nissan is using online to give better customer satisfaction and better dealer confidence and engagement to improve the sales worldwide. Thank you. 
Sadayuki Hamaguchi: [Interpreted] Okay. Thank you very much. With this, we would like to conclude the announcement of -- the Q1 result announcement for Nissan Motor Company. Thank you for joining the session and good night.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]